Operator: Ladies and gentlemen, thank you for standing by. Welcome to Avery Dennison's Earnings Conference Call for the Fourth Quarter and Fiscal Year Ended December 29, 2012. This call is being recorded and will be available for replay from 1:00 p.m. Pacific Time today through midnight Pacific Time of February 1. To access the replay, please dial 1 (800) 633-8284, or for international callers, please dial 1 (402) 977-9140. The conference ID number is 21610811. [Operator Instructions] I would now like to turn the call over to Eric Leeds, Avery Dennison's Head of Investor Relations. You may begin, sir.
Eric Leeds: Thank you. Welcome, everyone. Today, we'll discuss our preliminary unaudited fourth quarter and full year 2012 results. Please note that unless otherwise indicated, today's discussion will be focused on our continuing operations. The company's Office and Consumer Products business is classified on our income statement as a discontinued operation. Please also note that, unless otherwise indicated, prior period amounts referenced in today's earnings release, supplemental materials and on this teleconference call have been realigned to reflect the company's new operating structure, including our new corporate expense allocation method. Within our new operating structure, the company's Performance Tapes business is now reported as part of the Pressure-sensitive Materials segment; RFID is now entirely within Retail Branding and Information solutions; Designed and Engineered Solutions, or DES, which is contracted to be sold to CCL Industries, is included in results of continuing operations and the company's 2013 guidance. DES will be reported as a discontinued operation in the company's first quarter 2013 report. Office and Consumer Products, also contracted to be sold to CCL Industries, remains reported in the company's discontinued operations. The non-GAAP financial measures that we use are defined, qualified and reconciled with GAAP in Schedules A-2 to A-5 of the financial statements accompanying today's earnings release. We remind you that we'll make certain predictive statements that reflect our current views and estimates about our future performance and financial results. These forward-looking statements are made subject to the Safe Harbor statement included in today's earnings release. On the call today are Dean Scarborough, Chairman, President and CEO; and Mitch Butier, Senior Vice President and CFO. I'll now turn the call over to Dean.
Dean A. Scarborough: Thanks, Eric. I'm pleased to start with the news that we've agreed to sell 2 businesses, Office and Consumer Products and Designed and Engineered Solutions, to CCL industries. As we mentioned last October, we received expressions of interest in Office and Consumer Products as soon as we terminated the agreement with 3M. CCL was one of the interested parties and wanted to buy both businesses. We're pleased we were able to reach an agreement that is positive for both companies. I won't go through all the details in the press release, but I do want to note that the purchase price is $500 million, and the expected net proceeds are approximately $400 million. We'll use the proceeds primarily for share repurchases and an additional pension contribution. CCL is an important partner for us in our Materials business. The deal includes a 5-year supply agreement with CCL, which is an important part of the value to us going forward. We believe it's an excellent deal for both companies and for Avery Dennison shareholders. We expect to complete the transaction midyear once we get regulatory approvals and satisfy the usual closing conditions. The sale will be a significant step toward focusing the company on 2 core businesses to drive higher growth rates and returns. Now, I'll talk about the financial results for the quarter and full year. We delivered a strong earnings improvement on solid sales growth in 2012. We also delivered strong free cash flow and returned $346 million to shareholders through an increased dividend and share repurchases, which totaled 7% of our outstanding shares. A significant accomplishment in 2012 was the refocusing of the company through our restructuring initiative. This program will enhance our competitive position and strengthen our ability to increase returns, even in a soft economic environment. This program has involved every business. As you know, we combined RFID inlay manufacturing with Retail Branding and Information Solutions. We integrated Graphics and Reflective Solutions into Label and Packaging Materials. We also moved our Performance Tapes business into Materials, as it shares some operating processes and systems with Labeling and Packaging Materials. We moved corporate R&D into the businesses to bring innovators closer to the customers they serve, and we ended investment in several small non-core growth platforms. We continue to execute against our long-term strategy for the reduction of RBIS' footprint and overall cost structure. Finally, we changed the relationship between the corporate center and the businesses and streamlined the corporate organization. We have moved resources and support functions into the businesses and reduced activities at the center. We've realigned our segments to reflect this new operating structure. We've also adopted a new methodology for allocating corporate expense that reflects this new structure. We are on track, not only to achieve more than $100 million of annualized savings, but also to accelerate decision-making and to operate more effectively. Now for the businesses. Pressure-sensitive Materials had solid sales growth for the year and expanded margins. Label and Packaging Materials strengthened its leadership position in all regions, delivering solid sales growth in North America throughout 2012, and double-digit growth in emerging markets after a weak first quarter. Despite a challenging economy in Europe, we achieved a modest increase in sales there as well. LPM also exceeded its target for sales of new products and launched another 14 innovations at Labelexpo this past fall. Combined sales of Graphics and Reflective Products were up slightly over 2011. We saw strong results in Reflective globally. While sales for Graphics declined in Europe, not surprising for this more economically sensitive product line, we did experience solid growth for these products in both North America and Asia. And we're already seeing savings from the integration of these businesses into LPM. I want to highlight Label and Packaging Materials' excellent operating performance. The team continued to drive down production costs and improved quality and productivity. They increased working capital efficiency for the fourth year in a row and ended 2012 with record-high inventory turns. Their efficiency and productivity were key drivers in maintaining LPM's high returns. Retail Branding and Information Solutions ended the year with 2 strong quarters that offset a difficult first half. Organic net sales growth in the fourth quarter was 10%, which helped bring full year growth up to 3%. The growth in the second half was driven by improved market conditions, share gains in the core business and terrific growth in RFID and exterior embellishments, the 2 most important growth programs at RBIS. The team did an outstanding job with RFID in 2012, increasing sales by more than 60%. Integrating RFID inlay manufacturing into RBIS enabled the business to meet a substantial increase in demand and generated a significant profit improvement. The RFID business is solidly profitable now. We ended 2012 with an annual run rate for RFID sales above $100 million, and we expect to see continued growth in demand during 2013. RBIS expanded its adjusted operating margin for the year by 120 basis points to 5.2%, which is still below our target range of 8.5% to 9.5%. We expect to make additional progress in 2013 as we lower fixed costs by reducing the manufacturing footprint and continuing to drive share gain through innovation, speed of service and quality. Now for the outlook. Our guidance for 2013 continues to reflect caution above the top line. We were encouraged by our sales growth in the back half of 2012, but given the mixed economic environment and the short lead times we work with, we're not sure how far this second half momentum will carry over. But even with modest sales growth, we expect 15% to 35% earnings growth in 2013, as well as strong free cash flow, and we remain committed to returning most of that cash to shareholders. Thanks. And now, I'll hand it over to Mitch.
Mitchell R. Butier: Thanks, Dean. As you can see, we had a solid year, with adjusted earnings per share growth of 20%, reflecting strong performance in Pressure-sensitive Materials, solid progress in RBIS, the early results of our restructuring program and accretion from share repurchases. For the year, we delivered organic sales growth of 4%, adjusted EPS of $2.08 and free cash flow from continuing operations of $312 million, all in line with our long-term targets and at the upper end of the guidance that we set at the beginning of the year. With leverage in our targeted range and with our consistently strong free cash flow, we continue to deliver on our commitment to return cash to shareholders. In fact, we returned nearly all of our free cash flow to shareholders in 2012, through both dividends and the repurchase of 7.9 million shares, or as Dean mentioned, about 7% of our outstanding shares. In the fourth quarter, we delivered strong results with adjusted EPS of $0.54 and organic sales growth of approximately 7%. Sales came in stronger than expected with the vast majority of the quarter's growth coming in November and December. A shift in the timing of our fiscal year end also added about 1 point of growth in the quarter. Adjusted operating margin in the quarter grew 170 basis points, as the benefit of higher volume and productivity initiatives more than offset higher employee-related expenses and the impact of changes in product mix, specifically in PSM. The net impact of raw material input cost and pricing continued to be neutral in the quarter. Now we've been talking about our cost-reduction program that will structurally reduce our overhead costs and save more than $100 million annually. We're on track and continue to expect to achieve our savings target by the middle of this year. These actions will increase our ability to deliver our targeted earnings growth regardless of market conditions. The actions we've taken, which include consolidation of operations and streamlining of the corporate center, are reflected in the adjustments we've made to segment and corporate expense reporting. Operating executives are now directly accountable for externally-reported segment results, while gaining greater control over certain functional costs that had been previously controlled from the center. The net effect from a reporting perspective is higher corporate expense, offset by a corresponding reduction in costs allocated to the segments. Note that this adjustment in allocation methodology has been reflected by an increase in our long-term segment margin targets. Turning to the segments. Pressure-sensitive Materials sales were up 6% on an organic basis in the fourth quarter, primarily reflecting solid growth in North America and emerging markets. Label and Packaging Materials sales grew mid-single digits, with mid-single-digit growth in North America, low single-digit growth in Western Europe and low double-digit growth in emerging markets. Combined sales for other product lines, that is Graphics, Reflective and Performance Tapes, were up mid-single digits. PSM's adjusted operating margin improved 100 basis points to 8.7% (sic) [7.8%] as the benefit of higher volume and productivity initiatives more than offset the impact of product mix and higher employee-related expenses. Retail Branding and Information Solutions sales grew 10% with about 1/2 of the growth coming from RFID and the remainder being driven primarily by strong growth at North American retailers and brands. Overall, we believe we continue to gain share in both the U.S. and Europe. Sales of RFID products more than doubled in the fourth quarter and grew about 60% for the full year, a pace that is expected to moderate somewhat as a major retailer recently decided to slow the pace of their RFID adoption. RBIS' adjusted operating margin improved 270 basis points to 6.2%, as the benefit of higher volume and productivity initiatives more than offset higher employee-related expenses. Sales in our other specialty converting businesses grew 15%, with DES being the primary driver. And adjusted operating margin improved by more than 12 points to 6.4%, due primarily to the higher volume. In May of last year, we established long-term targets for the company and the operating segments, as shown on Slides 12 and 13. These targets represent a balance of aspiration and pragmatism, and we are committed to delivering them. As I said earlier, we achieved the targets for the company in 2012. Moving onto the outlook for 2013. We expect adjusted 2013 earnings per share from continuing operations of $2.40 to $2.80 and free cash flow from continuing operations of $275 million to $325 million. This guidance is based on a number of assumptions, including the key listed factors. To comment on a few. Our estimate for organic sales growth in 2013 is 1% to 4%. This reflects our business in the U.S. being flat to up 2%; Western Europe, flat to down 2%; and emerging markets, up 5% to 7%. Obviously, the macro environment remains uncertain and we continue to have limited forward visibility. Based on recent exchange rates, currency translation is expected to have a modest benefit to reported sales growth and EBIT. We expect to realize an incremental pretax benefit of approximately $70 million from our restructuring program. The minimum pension requirement for 2013 is $60 million. In addition to the required minimum, we anticipate using a portion of the net proceeds from the sale of OCP and DES to make an additional pension contribution. Any such additional pension contribution is excluded from our definition of free cash flow, and therefore, not reflected in our guidance. Average fully diluted shares outstanding for 2013 are assumed to be approximately $100 million. And it is important to note that our guidance includes the anticipated operating results of DES in continuing operations and excludes the effect on the share count of any share repurchases made with the net proceeds from the divestitures. So in summary, the fourth quarter represented a strong finish to a solid year in which we delivered full year organic growth of 4% and adjusted EPS growth of 20%. With the sale of OCP and DES, we've increased the focus of the company. Our 2 core businesses are market leaders and are well positioned for profitable growth and increasing returns. Our cost reduction program to save more than $100 million is on track and positions us for strong earnings growth in 2013. And our continued cost and capital discipline enable us to maintain our financial strength and return more cash to shareholders, all of which demonstrate our commitment to delivering on our long-term targets, including our expectation of adjusted EPS growth of 15% to 35% in 2013. I would be happy to take your questions.
Operator: [Operator Instructions] Our first question, from the line of George Staphos from Bank of America Merrill Lynch.
George L. Staphos - BofA Merrill Lynch, Research Division: I guess, first question I had, to the extent that you have visibility into this, you're not the only company that we've talked with during earnings season thus far that said they saw a pickup in November and December. What are your customers, to the extent that they have visibility, relating this pickup to? And then I had a couple of follow-ons.
Dean A. Scarborough: Yes, George. I'd start first with Retail Branding and Information Solutions. We had a very strong quarter, especially the back couple of months. I attribute it to basically, retailer confidence about the spring season as well. So we have a good market and as well as we were taking some market share, as well as strong RFID rollout. All those were factors. So it was nice to see, frankly. And I think for Materials, fundamentally, the business, it grew about the same in the fourth quarter as it did in the third quarter, overall. It's very, very close. I don't sense there was any -- anything abnormal about the fact that November and December were a little stronger. I really can't attribute it to anything specific.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. But on RBIS, the implication would be that your customers are feeling a little bit better about consumer confidence and consumer's willingness to spend back in -- well, in the upcoming springtime season, that's the conclusion.
Dean A. Scarborough: Definitely. Unit costs for apparel are down and so retailers buy on dollars, not necessarily units. And obviously, they do on both. So they're bringing in more units than they did last year.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. Second question I had, just -- you mentioned it, so it's worth questioning. The retailer who was driving RFID within their organization, and then has now decided to decelerate some. To the extent that you can comment for them, which, in this kind of forum, what was behind that? And then I had a question on Vancive in terms of how you're going to manage that business on a going-forward basis, whether it's core or not.
Dean A. Scarborough: Yes. So on the RFID business, actually, this is fairly typical when we do retailer rollouts. Retailers will sample a few categories. They'll expand into new categories. Sometimes they'll eliminate the program in other categories. It really depends on what their expectations are. I'll just tell you from our own kind of forecast for the year, some of this was anticipated. And we still expect to have year-over-year growth in 2013 because we have a number of new programs that are scaling up. So I wouldn't read much into that. It'll be -- it should be okay. As far as Vancive Medical Technologies, fundamentally, this is a carve-out of a business we've had in our Performance Tapes for a number of years. It's a medical wound care product category where we use a lot of our adhesive technology to -- in which we launched a lot of new products here. So I would characterize this business as a very small growth platform at this point. It's under $100 million in sales. We've been investing in the business, have a lot of new product launches that should start to come to fruition in 2013. So I would just say it's a nice, solid adjacency to our core Materials businesses that we've carved out and are just managing a little bit differently.
Operator: Our next question, from the line of Ghansham Panjabi from Robert W. Baird.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: Looking at the EPS range for '13, $2.40 to $2.80, is it just volumes that is the main variable between the low end and the high end? And how should we think about raw material inflation, particularly for the first quarter, given the sequence of price increases in the resin complex?
Mitchell R. Butier: So as far as the range, volume is obviously a key factor in the move between $2.40 and $2.80. Also, it is just what the trends are around -- within that volume, if we prefer to break it down, which categories we see the most growth in. So as you've -- we've talked about the last 2 quarters, we've had higher-than-average growth in some lower-margin categories, in Pressure Sensitive, so it would just depend on the product mix within next year as well. As far as the raw material costs, we -- there's been some movement in a couple of categories. But overall, relatively modest. We're working to manage it. We don't have any significant change as far as the net impact between price and raw material costs baked into our guidance for '13 versus '12.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: Okay. Then, Dean, I think last quarter, you mentioned some share gains in RBIS. Was that -- did that accelerate in 4Q or is it pretty steady in terms of the run rate and most of the improvement was just the improvement at the end market level?
Dean A. Scarborough: We don't -- in the third quarter, I would say, based on the data we had, I'm confident in saying we did have some share gain. We don't have all the import data yet for Q4, so it's hard to really ascertain. I would say, for sure it's a combination of better market growth as well as RFID. It's too early to say if our share gain accelerated in the quarter or not. I do think we took some share. It's hard to nail that down.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: Okay, and then just one final one on the DES sale. So post the sale, you're already doing a pretty broad-based cost reduction program. Is there more to do after the DES sale?
Dean A. Scarborough: No. I said DES is a relatively small part of the business, so I never say no to, is there other productivity that we could take. But there's nothing significant planned at this point.
Operator: Our next question is from the line of Scott Gaffner with Barclays Capital.
Scott Gaffner - Barclays Capital, Research Division: Just looking at the long-term operating margin targets, you mentioned you took those up a little bit due to the change in how you allocate corporate expense. I just would have thought, especially with RBIS, there might have been some impact for moving the RFID inlay business into this segment, maybe pushing the margins down a little bit. Is that the case? Is that the way we should think about that? And then, on the PSM business, any impact from the move there?
Dean A. Scarborough: I'd say for RFID, is now solidly profitable, so really no fundamental change in the margin target. It's still relative -- it's still small also relative to the size of RBIS. And I make the same comment in -- by moving Performance Tapes into Pressure-sensitive Materials. That business is -- operates at above the cost of capital. It's a good business, et cetera, et cetera. So no major shifts.
Scott Gaffner - Barclays Capital, Research Division: Okay. And as you roll out RFID to new customers, is there a significant equipment component of the sale process, or is that something you rely on outside partners for? How does that sort of work into the outlook?
Dean A. Scarborough: Yes. There is some equipment, but we're basically 90% consumables. It's all about the tags and the labels we sell, so it's relatively minor, Scott.
Scott Gaffner - Barclays Capital, Research Division: Okay. Just lastly on your returning capital to all your stakeholders. Has anything changed in the quarter around the desire to sort of improve your debt rating outlook so that you're comfortably in high yield -- I mean, a high grade credit versus returning share -- cash to shareholders?
Mitchell R. Butier: Nothing's improved in the quarter. As far as our overall intent and objectives, we said we want to have a strong balance sheet, good financial health and that's very consistent. We continue to improve our ratios modestly over time. We -- one thing, when we talk about our financial ratios, we talk about simple net debt-to-EBITDA. Obviously, that's a proxy for our total leverage, which includes the pension. And so when we divest these businesses, the way we're going to de-lever is by topping up the pension.
Operator: Our next question, from the line of John McNulty with Credit Suisse.
John P. McNulty - Crédit Suisse AG, Research Division: Just a couple of quick questions. When you had launched the restructuring program, it sounded like a lot of it was to help combat what you were seeing in terms of inflation in some of the emerging markets, as well as some of even your core markets. I guess, what I'm wondering is on the $70 million of incremental saves that you expect this year, how much of that do you expect to be offset by that inflation? Has it -- and has that directionally improved or worsened relative to kind of where we were last year when you launched the program?
Dean A. Scarborough: Yes, John. I think the notion of inflation really impacts RBIS, because we have a lot of employees in developing markets that have a high inflation rate. So the answer to the question depends a lot on volumes. So we need about 1.5% growth in RBIS to offset the inflation factor, so -- then our incremental margin accretion happens after that, about 1.5% growth factor. So it's really an RBIS issue, it's not a total company issue.
John P. McNulty - Crédit Suisse AG, Research Division: Okay, fair enough. And then on the RFID growth, I know you said it was -- it would probably be a little bit more moderate this year because of one of the big customers, I guess, is slowing up their program. But you had 60% growth, like can you maybe bracket what you think is more moderate for this year? How should we be thinking about that business given that it's kind of reached a tipping point in terms of size?
Dean A. Scarborough: Oh, gosh. That's the $64,000 question. I'd say in the 10% to 30% range.
John P. McNulty - Crédit Suisse AG, Research Division: Okay, okay. Fair enough. And then in terms of the platform and how we think about RFID, when you get new adopters of it in terms of stores, chains, what have you, is there a big initial inventory pickup just to kind of build inventory so there is -- just because they're starting the platform, or is it really just kind of on an as-needed kind of type of pull. How should we think about how that ramps up?
Dean A. Scarborough: So the way retailers do this is that they start asking their vendors to tag new items that are going into the stores with RFID rather than doing some -- in the test, a lot of times it's done in the retailers' DCs, but they quickly shift to having vendors do it. So what they do is phase it in as new products come into the store. That's typically the way it's managed. So for us, it doesn't require a lot of inventory build. It does sometimes put a little bit of strain on our capacity. But we manage through that quite well, I think.
Operator: Our next question is from the line of Jeff Zekauskas with JPMorgan Securities.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: In your other current liabilities, sequentially it went up about $34 million. What was that? And is that something that comes down in the first quarter of 2013?
Mitchell R. Butier: So there's a few things hitting the other accrued liabilities. You have your rebate accruals, which tend to build up throughout the year; variable compensations, so annual bonus, which tends to build throughout the year. You also have the impact of currency. The currency rate for the euro went up within the quarter as well, so a number things. So to answer your question, it's a number of factors building it, the first 2 factors I mentioned would have it come back down again in the first quarter. If you recall, Jeff, our cash flow is rather seasonal. Q1 is the lowest, it's actually negative. One, that's because we're building working capital, traditionally for OCP, but also for RBIS, but it's also when we pay out bonuses and pay out some rebates.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: Okay. And I don't mean to ask a naïve question, but you put the RFID inlay manufacturing into RBIS and you've described the business, I think, as $100 million business-or-so, a run rate of. But there's not really very much pro forma sales change between the previous RBIS numbers and the current RBIS numbers?
Mitchell R. Butier: Yes. That's because most of the RFID sales, the one vertical that was really taking off, was in apparel, so through the RBIS channel. So RBIS was procuring all the RFID inlays from our RFID division. So that's one of the reasons we've integrated it, just because that's the biggest vertical that's taking off, just to streamline the operations.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: Okay. So that would mean -- so that's why it's a relatively small revenue change?
Mitchell R. Butier: It's small in the revenue and you'll see a bigger impact on the margins.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: Okay. And then lastly, your volume growth was pretty strong for the quarter and sometimes you're inclined to say that your businesses are a leading indicator. But at the same time, you wish to be conservative for various reasons for 2013. But if you put conservatism aside, and you just look at the tenor of business of the fourth quarter and tenor of business as we go into 2013, say, for the first quarter, when you look at your data, are your business trends similar to the fourth quarter or have they slowed down? And I realize it's early in the quarter.
Dean A. Scarborough: I'd say, Jeff, I remember 2011, we were coming off a strong year. In 2010, we were pretty bullish. We had a good first quarter. And then the bottom fell out of all of our businesses in the second quarter because we don't have that visibility. So I think we are a little bit conservative. January, it's been strong so far. But here again, here's one reason why: And simply, that Chinese New Year was in week 4 of last year, so it was in January. And this year it's in week 7, so it's in February. So we expect to have a strong January. February will be weaker than last year because of Chinese New Year and then we won't really understand where the trends are until a couple of weeks after that. So it's really difficult to predict based on the first 4 weeks of the year.
Mitchell R. Butier: And just to add a little bit to that, if you look, pulling China aside, so far what we're seeing is North America up somewhat and Europe actually down. So that's consistent with our full year guidance. That's when I gave the regional outlook as well. And one thing, when you look, it's important to remember core growth. We did say that change in our fiscal year end added about 1 point of growth. So if you adjust for that, our core growth was relatively consistent for the whole quarter, with Q3.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: And when you get your $400 million in net proceeds, will all of that be consumed by share repurchase and pension pay down?
Mitchell R. Butier: Primarily, so that's where the 2 primary areas of focus will be. We have -- we know how much we want to de-lever and then we are going to make the final determination about how much exactly the pension versus reported.
Operator: Our next question, from the line of Todd Wenning with Morningstar.
Todd Wenning - Morningstar Inc., Research Division: Looking back, you made some opportunistic share repurchases in the first 3 quarters of 2012, but your buyback activity trailed off in the fourth quarter, sort of concurrent with the higher share price. With your stock now having made a really nice run in the recent past months, what effect will that have on your strategy going into 2013?
Dean A. Scarborough: Yes, Todd. We don't comment on the timing of share repurchases.
Todd Wenning - Morningstar Inc., Research Division: But in the sense of, are you looking at it from a valuation perspective, or can you give any color there?
Mitchell R. Butier: Yes, so as we've said before, so we don't comment on the timing or amount of share repurchases, but we look at a number of factors when evaluating the pace and speed with which we repurchase. So one is the timing of free cash flow. One is also just the intrinsic value of the stock relative to where it's trading and including recent trends, as well as just looking at the other uses of capital, looking at what the dividend yield is that we have to pay versus cost of debt and so forth. So that's the overall assumption. As you can see, our average share count for the year implies a degree of share repurchases.
Todd Wenning - Morningstar Inc., Research Division: Great. And so what's your take on where the North American PSM industry stands in terms of capacity and how could that -- might that affect pricing going into the new year?
Dean A. Scarborough: There really haven't been any substantial additions to capacity in the market. There was growth in the market last year, so I think it's fundamentally no different in 2013 than it was in 2012.
Todd Wenning - Morningstar Inc., Research Division: Okay. And do you have an outlook for R&D spending in 2013?
Dean A. Scarborough: Nothing specific, I'd say. As you know, we sort of had 2 vectors here. One vector is we closed our corporate research center. We're moving some activities into the businesses. And the other -- and so I would say in the U.S., we're probably -- that number will be down year-over-year, but we're expanding in China and India. So I'm not sure how it nets up. It won't be a material difference in our R&D spending year-over-year.
Operator: [Operator Instructions] And our next question is from the line of Glenn Primack with PEAK.
Glenn Primack: In RBIS, is there room to continue to add the digital printers? And then can you remind us what the return -- the payback is on one of those when you put it in your system? And then, also on RBIS, have you been successful at all at solution selling?
Dean A. Scarborough: Yes. So do we have room for more digital presses? Yes, in fact, we're buying more now and putting them in our operations. They actually take up a lot less room than the offset presses they're replacing. So it's, actually digital printing is one of the things that allows us to help us reduce the overall footprint that we have in Retail Branding and Information Solutions. We get good payback from the investment in digital printing. I don't really want to comment on an amount. It's -- but it's pretty good. I'm sorry, you had a third question there, which I've forgotten.
Glenn Primack: Solution selling within RBIS, have you been able to do that with the customer on the total...
Dean A. Scarborough: I'm really pleased with the progress of our commercial teams in Retail Branding and Information Solutions. I'd say, 5 years ago, we were primarily talking to, what's known as a trim buyer in the apparel companies or the retailers, just really talking about tickets, tags and labels. And now, we are talking to CEOs or CIOs about how we can help them manage their inventories and help improve their gross profit through a wide range of solutions ranging from RFID to price markdown implementation in the stores to more effective heat transfer labeling in factories. So it is quite different. We're still in the early stages, so we have a long way to go. But I'm very, very pleased with our progress.
Operator: Our next question, from the line of Anthony Pettinari with Citigroup.
Anthony Pettinari - Citigroup Inc, Research Division: Just a follow-up on the question on RBIS. You referenced retailer confidence ticking up. But I think in previous quarters, when you've seen a little bit better growth, you've indicated retailers are still keeping inventory ratios very tight and want to keep the inventories lean. Are you seeing or did you see in the fourth quarter any kind of really inventory restocking effects or is the strength that you saw in the quarter really just better volumes and some share gain?
Dean A. Scarborough: Well, it could be, inventory-to-sales ratio, we track that pretty closely, has remained pretty much in the same range it has for the last 18 months, so it hasn't changed much. The retailers are keeping inventories low. I do think we get a benefit from lower unit costs from apparel right now. So it tends to be a few more units. And the focus on retailers to keep inventory down actually helps us in the sense that RFID is essentially an inventory control solution, for example, and the fact that we can respond very, very quickly to retailers for restocking also helps us gain share. So the trend, in fact, I think really helps our overall business. There is still some uncertainty in the market. I mean, we grew in Europe from European retailers and brands, the last couple of quarters and I'm still a bit nervous of what's going to happen over there. So it's still early in the year yet.
Anthony Pettinari - Citigroup Inc, Research Division: Okay, that's helpful. And then your 2013 CapEx guidance is ratcheted up a bit from 2012. Can you just walk us through what portion is kind of growth versus maintenance and maybe what businesses are getting the biggest incremental investment?
Mitchell R. Butier: The ratio is still roughly the same, as we've said before. So it's about 1/3 growth, principally being in emerging markets, capital requirements; 1/3 maintenance for mature markets; and 1/3 IT.
Operator: Our next question is a follow-up question from the line of George Staphos, Bank of America Merrill Lynch.
George L. Staphos - BofA Merrill Lynch, Research Division: In terms of emerging market margins for Pressure-sensitive Materials, while you can't get into the specifics perhaps, can you tell us what the trend has been over the last year to 2 years? Have you been able to maintain the margin that you've had in that business? And what's the outlook to the extent that you can comment in 2013? And then I have a housekeeping question.
Dean A. Scarborough: So George, emerging market margins for Pressure-sensitive Materials are still above average. We have changed our strategy a bit in emerging markets in that we are going after business in some lower-margin, but still very profitable categories. So we're kind of accelerating growth, taking a little more market share, but still, the overall margins and returns are still above the average.
George L. Staphos - BofA Merrill Lynch, Research Division: Just why the shift in the strategy, Dean? What's behind that?
Dean A. Scarborough: I think a lot of it has to do with making sure that you don't allow your competitors to gain a foothold in kind of lower-priced, easier-to-make products and then kind of try to work their way up the chain. We've established very strong, competitive positions, especially in higher value-added products like film and durable goods. And I think as we talked about how we want to behave in those markets, there is clearly an opportunity for us to grow faster than the market. And it's profitable and it's simply just a, I'd say, a minor shift in our mindset.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. The housekeeping question, maybe you'd mentioned this before and I had missed it. If so, I apologize. What's the logic for keeping DES in your guidance for the time being? It's obviously not going to be that large in terms of EBIT, just looking at the other specialty converting EBIT. But I was wondering, what was behind that? And then, once that ultimately leaves or maybe even before then, why wouldn't you put Vancive in Pressure-sensitive Materials since you put other specialty tapes in there as well? I realized it's a health care-bent company or business, but nonetheless, it would seem like it would be more PSM than stand-alone, especially when it gets to that size in the segment.
Dean A. Scarborough: Okay, George, the DES, I think we're trying to be consistent here with the accounting. So DES technically can't be moved into disc ops until after the first quarter has gone by. And we're likely to keep that business in -- it's going to be in the company for a couple of quarters. And so, we wanted the comps to 2012 to be easier to do. Also, the share count excludes buyback from the sale as well. So when we upgrade the guidance, when we move DES into disc ops, we'll also likely make some comments about share count, et cetera. So we're trying to be relatively consistent there. The question on segment reporting and Vancive is an interesting one, because it's actually a very technical question and there's a lot of accounting, et cetera, et cetera. Fundamentally, we believe that business is sufficiently different enough from Materials that it needs to report in the Other segment. It also reports directly to me. It does not report into the leader of our Materials business, and that is one major factor in why you have to report it in one segment or another.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. But we should view Vancive as, it's nonetheless small, a core business for you?
Dean A. Scarborough: It is. I feel it's a core business and it has opportunity for growth. We're making investments in the business, and it's a nice business with some great growth potential.
Operator: Our next follow-up question is from the line of Scott Gaffner with Barclays Capital.
Scott Gaffner - Barclays Capital, Research Division: Just 2 follow-ups on RBIS and then one additional question. So just on RBIS, I think you mentioned you thought there was improved demand from U.S. and European retailers in the quarter. I just want to maybe flesh that out. How much of that is underlying demand improvement versus the lower cotton prices that we talked about? And then as we roll that into 2013, how much of the guidance is predicated on increased unit volume from lower cotton prices?
Dean A. Scarborough: Yes, that's -- Scott, that's a really tough question to tease out, of how much is related to lower cotton prices versus confidence. I mean, it's an impossible number to derive. Here's the way we look at it. I think we didn't really see the benefit of lower apparel prices till the back half of the year. So my perspective is the comps will be relatively easier in the first half of 2013 and maybe slightly more difficult in the back half of 2013.
Scott Gaffner - Barclays Capital, Research Division: Okay. And the ordering that your company -- your customers are doing now, are they are still buying for spring?
Dean A. Scarborough: It's for the spring season. So the orders that we've taken, mainly in the fourth quarter, is really all about spring and summer.
Scott Gaffner - Barclays Capital, Research Division: But I mean, the orders in the first quarter, are those for spring as well or is that...
Dean A. Scarborough: So in March, April, we'll start to see some fall merchandise hit our order books.
Scott Gaffner - Barclays Capital, Research Division: Okay. And Dean, you mentioned the change in the compensation structure, in particular, with the head of the segments now more directly tied to your communications with the Street. Can you be a little bit more specific on that, how their compensation structure has actually changed?
Dean A. Scarborough: So the actual way they're compensated hasn't changed. But fundamentally, we had always held the businesses accountable for a set of EBIT targets. And those EBIT targets were less than what we reported externally. And so the businesses, I guess, didn't feel accountable for certain costs that were allocated to the businesses. So we decided to change that. And now there's -- I can tell you, the business heads pay a heck of a lot more attention to services they buy from the center or other cost allocations. And part of the restructuring plan was the businesses saying, "I don't really want this service," or "I want it at a lower level." And as a way to better prioritize around the specific needs of the business, rather than trying to do it at an average in the corporate center. So I think it's driven better prioritization and better decision-making, especially given the fact that RBIS and Materials are such different businesses at different -- they sell them to different markets, different competitive dynamics, and therefore, have different priorities. So I actually think this is a much better methodology of prioritizing investments in our business. Okay. Well, I guess there are no other questions. Just to sum up, we're very pleased to announce the deal for Office and Consumer Products and Designed and Engineered Solutions this morning. We'll work with CCL to plan the transition and complete the transaction as quickly as possible. Last May, we set out our long-term goals for you and committed to focusing the company to ensure we can deliver on them. We accomplished a great deal of that work in 2012. Our employees did a remarkable job of serving customers and improving quality and service while executing our restructuring plans, and I want to thank them for their efforts and their dedication. But while we're pleased with the progress we made so far, we know we have more to do and we're focused 100% on completing the restructuring and delivering another year of double-digit earnings growth and strong free cash flow. Thank you, and we'll talk to you next quarter.
Operator: Ladies and gentlemen, this does conclude the conference call for today. We thank you all for your participation, and ask that you please disconnect your lines. Have a great day, everyone.